Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Rocky Brands First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for your questions. [Operator Instructions]. I would like to remind everyone that, this conference call is being recorded. I will now turn the conference over to Cody McAllister of ICR [ph]. Please go ahead.
Cody McAllister : Thank you, and thanks to everyone joining us today. Before we begin, please note that today's session, including the Q&A period may contain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such statements are based on information and assumptions available at this time and are subject to changes, risks, and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of the risks and uncertainties, please refer to today's press release and our reports filed with the Securities and Exchange Commission, including our 10-K for the year ended December 31, 2022. I'll now turn the conference over to Jason Brooks, Chief Executive Officer of Rocky Brands. Jason?
Jason Brooks: Thank you, Cody. With me on today's call is Chief Operating Officer Tom Robertson, and Chief Financial Officer, Sarah O'Connor. After Tom and I's prepared remarks, we will be happy to take questions. Marketing conditions during the first quarter of this year were much more challenging than at the start of 2022. And more difficult than we anticipated. Despite industry and broader macroeconomic headwinds, and the tough year-over-year comparison we discussed on our last earnings call, consumer demand for our brands remains solid with sales through our direct e-commerce sites nearly in line with year ago levels and many of our key accounts reporting positive sell through.  Unfortunately, our wholesale performance didn't translate into increased sell-in as many of our retail partners are in the process of Working down elevated inventory levels, and have recently adopted a more cautious approach to reorders. While the year has started slower-than-expected, we are confident that the strength of our brand portfolio, puts us in a good position to accelerate growth, once the operating environment improves.  In the meantime, we think it's prudent to adopt a more conservative outlook for the remainder of the year, and are taking actions to reduce expenses and protect profitability. These cost saving measures are on top of the $2 million in annualized interest expense savings we generated by utilizing the proceeds from our sales of the service brand in March to pay down more than $17 million of our senior term loan. Before I hand it over to Tom to cover the numbers in more details, I wanted to spend a few minutes reviewing some of the drivers of our recent top-line performance, starting with our work category portfolio of brands. Work is our largest category where we compete with a wide brand portfolio that includes Georgia, Rocky, Muck, and XTRATUF. Together, this segment had a slower than expected first quarter driven by a few factors.  While we have retained much of our share gains earned over the past 18 months, when compared to the first quarter of 2022, in which wholesalers over ordered to accommodate difficulties in securing product, competitors' brands are better able to fill demand today, leading to a more competitive and price driven marketplace. This coupled with large inventory positions at some of our key accounts has led to a lengthened reordering cycle that dampened sales activity in the quarter. Despite this evolving market dynamic, there were a number of bright spots for each of our Work brands in the quarter. Solid consumer demand for our Georgia brand, along with higher bookings compared to a year ago, have the brand positioned to outperform our initial full year forecast as long as the current environment remains constant.  We are very focused on the competitive landscape and have a number of seasonal releases that we believe will trend positively in the coming quarters. We also saw a number of key partners have strong success with our Rocky Work product in the first quarter driving solid volume for our spring '23 product. Pre-books for Rocky Work were very solid in the first quarter as well, and we expect good sell through due to the strong response our campaigns have generated. Shifting to our rubber-based Work product, despite being down this quarter, the Muck brand saw improving trends with our field accounts in certain key regions. And also ended the quarter up year-over-year in the important farm and ranch channel. Despite the slow start and increased focus on new accounts in sporting goods and hardware store channels has us cautiously optimistic for the remainder of the year with Muck. Turning now to our Western business. Demand has been steady at the consumer level. Though the inventory build that impacted our Work business also are impacting Western. This led to a sluggish start to the year for the Durango brand. Additionally, sales were challenged due to the tough comparisons to Q1 2022 in which nearly $8 million in holdover products shifted from 2021 into the first quarter of 2022. To help to offset some of the intermediate-term wholesale demand pressure, the Durango team has focused on two areas within our control: new business accounts and cost efficiencies. To date, we have added 74 new doors for the Durango brand and these accounts are off to a great start. On the cost front, the team has identified measurable opportunities with our Durango factories. These efforts have resulted in cost reduction that we plan to pass along to our wholesale partners. We anticipate a more attractive opening price point will help our accounts to drive incremental consumer demand and increase replenishment order frequency.  Rocky Western saw similar pressures in the quarter. Though the brand did see solid gains at some key Western retailers across the country, Additionally, there were some bright spots from a product perspective, as new color and textured leathers along with new silhouettes added to the women's collection contributed solid sales activity in the quarter. Turning to Outdoor, which include styles under our Rocky, Muck and XTRATUF brands. This category was the most impacted segment for the quarter. Not unique to us, the entire Outdoor segment has experienced a slowdown as the pandemic-era trend toward outdoor activity has lost some momentum, which has led to the channel being over inventory. Despite the tough conditions, XTRATUF saw improvement as the quarter progressed heading into the peak spring selling season with retail sales continuing to outpace reorders, which is a strong indicator that the brand demand remains strong. Looking ahead, we are implementing initiatives to help to mitigate some of the current headwinds our Outdoor business is facing, including a renewed program with a large online retailer, and anticipating that, once inventories level normalized the category will return to growth. With respect to our Commercial Military and duty footwear, we saw positive booking trends in the first quarter. With Commercial Military, we saw increased bid activity along with our AFI's retail partner adding new products to stores. Meanwhile, duty sales trended positively on the strength of our police and postal uniforms this quarter.  Shifting to our Retail segment, Lehigh, our B2B business was once again the bright spot. Sales continued to improve year-over-year, up 9%, driven by both retention growth and new account additions. This is despite some deliveries getting pushed out to the second and third quarters, we continue to see employers embrace employee PPE such as footwear, orthotics, and compression socks as a method for driving employee retention in this tight labor market. Lehigh has been extremely well-positioned to capitalize on this trend, and we expect continued strength in our B2B business in the quarters ahead. As I mentioned at the start of the call, direct-to-consumer sales through our branded e-commerce websites were down just slightly versus a year ago, despite softer spending trends across the category. Finally, with respect to contract manufacturing, there wasn't much activity in the first quarter, but we were pleased to have recently been awarded a new three-year DLA, Army Combat Hot weather contract. We expect to start shipping the first order under this contract in the fourth quarter of this year with a military manufacturing history that dates to World War II, we are very proud to support our US military.  Overall, I am encouraged by the resilient demand we've seen for our portfolio of brands at the consumer level, despite the impact from broader economic factors and the current retail inventory landscape that weighed on our first quarter results. I'm confident in our ability to manage through this current environment as retailers work through their inventory positions and the coming quarters will remain focused on the factors within our control, including cost, management, and operational efficiencies. Our continued work on these fronts along with our brand's ability to resonate with consumers, positions our business to reach new heights once wholesale demand returns.  I'll now turn the call over to Tom. Tom?
Tom Robertson: Thanks, Jason. As we outlined on our fourth quarter call in February, we're up against a tough comparison in early 2023 from the delay in fulfilling some shipments in late 2021 due to the disruption in our distribution centers as we push sales into the first half of 2022. And as Jason discussed, steady consumer demand for our portfolio of products year to date has been overshadowed by inventory-related selling pressure within our wholesale channel this quarter. Reported net sales for the first quarter decreased 33.9% year-over-year to $110.4 million by segment on a reported basis, wholesale sales decreased 40.2% to $80.1 million. Retail sales increased 3.1% to $29.5 million, and contract manufacturing sales were $0.9 million.  Turning to gross profit for the first quarter of gross profit was $43.8 million, or 39.6% of sales compared to $62.8 million or 37.6% of sales the same period last year. The 200-basis point increase in gross margin as a percentage of sales was mainly attributable to increased retail and wholesale segment gross margin, and an increased mix in retail segment sales, which carry higher gross margins than the wholesale and contract manufacturing segments.  Gross margins by segment whereas follows: wholesale up 60-basis points to 36.6%, retail up 30-basis points to 48.7%, and contract manufacturing down to 8.1% from 16.2%. Operating expenses were $39.6 million or 35.9% of net sales in the first quarter of 2023 compared to $49.6 million or 29.7% of net sales last year. Excluding $800,000 of acquisition-related amortization, this quarter and a million of acquisition-related amortization and integration expenses from the first quarter of 2022, operating expenses were $38.8 million or 35.2% in the current year period, and $48.6 million or 29.1% of net sales in a year ago period.  The decrease in operating expenses was driven by a decrease in variable expenses associated with the lower sales and improved distribution center efficiencies, compared with a year ago period. Income from operations was $4.2 million or 3.8% of net sales compared to $13.2 million or 7.9% of net sales in the year ago period. Adjusted operating income, which excludes the expenses related to the acquisition in both periods was $4.9 million or 4.5% of net sales compared to adjusted operating income of $14.2 million or 8.5% of net sales a year ago.  For the first quarter of this year, interest expense was $6.1 million compared with $3.9 million in a year ago period. The interest -- the increase reflects increased interest rates on the interest payments on our senior term loan facility and credit facility. On a GAAP basis, we reported a net loss of $0.4 million or $0.05 per diluted share compared to net income of $7.3 million or $0.99 per diluted share in the first quarter of 2022. Adjusted net loss for the quarter of 20 -- the first quarter of 2023 was 0.8 million or $0.12 per diluted share compared to adjusted net income of $8.2 million or $1.10 per delivered share a year ago. Turning to our balance sheet. At the end of the first quarter, cash and cash equivalents, so at $4.9 million and our debt totaled $219.8 million, consisting of $95.8 million in our senior secured term loan facility, and $126.5 million of borrowings under our senior secured asset back credit facility. During the first quarter, we paid down $20.5 million in our senior term loan and $16.8 million of borrowings under our credit facility. Inventory is at the end of the first quarter were $224.1 million, down 22.5% compared to 289.2 million a year ago, and down 4.8% compared to the end of 2022.  With respect to our outlook, based on the first quarter results, the sale of the service brand in March, and a more cautious view of the remainder of the year, given the current industry and economic headwinds, we are adjusting our guidance. We now expect full-year 2023 net sales to be approximately $500 million compared with our previous outlook of approximately $565 million. The sale of service brand represents roughly $25 million of our overall reduction with the remainder coming with lower projected wholesale sales across our categories. Partially offset by a modest amount of contract military sales in the fourth quarter.  We still expect gross margins to be approximately 40% in 2023 compared to adjusted gross margins of 36.6% in the prior year as the higher projected mix of retail sales is offsetting the cost deleverage from the lower overall sales outlook. With regard to SG&A, we have already made some adjustments to expenses in response to the software Q1, and we are currently evaluating additional expense savings.  That said, we are now expecting some additional deleverage compared to 2022 on top of the modest deleverage we are planning at the start of this year. Finally, interest expenses coming down, thanks to the $37 million of debt reduction we achieved in Q1, including paying down our more expensive senior term loan by $20 million. Interest expense is now projected to be $18.5 million in 2023, down from our prior guidance of '21. That concludes our prepared remarks. Operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions]. The first question is from Jonathan Komp of Baird. Please go ahead. Jonathan, the line is on. 
Jonathan Komp: Thank you. Can you hear me?
Jason Brooks: Hey, John. Yes, we got you.
Jonathan Komp: Sorry for the delay there. A couple of questions. First, I just maybe to ask more about what you are seeing at the consumer level and the way you report your business, it looks like the Retail segment flowed from 40% growth down to 3% growth. So just maybe want to clarify what's driving that change in trend? And then maybe just to reconcile that when you talk about the consumer demand you are seeing and how that's different than, that step-down and growth you are seeing in the retail segment? 
Jason Brooks: Yes. I'll start off John and maybe Tom can add in. When we talk about the wholesale business, we had anticipated that, at the end of 2022, that our retail partners would have been able to navigate the over-inventory positions and get back to a regular fill in kind of cadence into Q1. And what we have learned is that that did not happen. The inventory levels were even higher and they are still working through that really as we speak now.  So, if you think about some of the large farm and ranch stores or maybe some of the large Western retailers or even outdoor retailer, they are seeing and they are showing us reports and we have reports, where our product is selling well at those locations. But they just have enough inventory that they are not needing to fill back in as they sell through. So that's really what we are talking about from a wholesale standpoint in regards to needing to get that inventory flushed through. And then hopefully, they'll get back on a normal cadence of filling in whatever that cadence was from either weekly or biweekly in most cases.
Tom Robertson: And then John, just to add on, so you had a question around kind of the retail business, particularly I think e-commerce. And so, I think if you think about our e-commerce consumers for our brands, they tend to be much more active in Q3 and Q4, particularly for the outdoor insulated products. Thinking back to Q4 of 2022, we are kind of still working through those distribution challenges that we had and we had and we were not able to ship our e-commerce orders and execute as well in 2022 -- or I'm sorry, in 2021 as we were in 2022.  And so, we had an easier comp from an e-com perspective last quarter. As we moved into to 2023, we're seeing positive sales for our e-commerce websites. They're coming in where we had originally planned them. So, we're optimistic that we will continue to see e-commerce grow here in the last half of the year as well.  And then also in that retail category, we talk about our Lehigh business and the Lehigh business saw some wins in the employee wellness and some additional spins right at the end of the calendar years as people use their, utilize their vouchers. And that was we had talked about the new SMS programs and email campaigns that we're doing in that space. And that drove some sales at the end of the year as well. And so, we we're going to continue those type of campaign campaigns, and at the end of 2023 as well. 
Jonathan Komp: Okay. That’s really helpful. Thanks. And maybe a follow-up just on the wholesale destocking you're experiencing, any insight you can share from your partners or any of your past experience, how long that might last, and then how should we think about any incremental risk to that timeline if consumer purchasing actually lows? 
Tom Robertson: Great, question, Jon. And we keep asking this pretty much if not every week, every day, our initial thought was – we were hoping end of last year they would've gotten through it. That has not happened. The communication we've had is that Q2 is probably going to be still a tough comp quarter and maybe Q3 loosens up a little bit. Our bookings going into Q3 and Q4 represent a little better view for us. And so those are not quite as concerning. But I think as we indicated in the prepared notes, Sean, we're being very cautious. We went into the year, I think you would agree in a different opinion.  And so, we are being very cautious. I think the retailers are being very cautious to not get over inventory again. And so, they're going to be willing to wait and try to count on us to have the inventory and we're going to do our best job to balance that and continue to drive our inventories down, but try to have what we think is going to be here in the fall. But I think Q2 is going to be challenging -- another challenging quarter. 
Jonathan Komp: Maybe two last ones for me. But first, just to follow-up on the pricing comment that you made just want to understand your approach there. Are you value engineering new products at a lower price point, or are you rolling back any prices, price increases that you had implemented given a different competitive dynamic? And do you have any sense what other competitor brands might be doing? 
Tom Robertson: And what we have found if you think back, as COVID hit, everybody stopped producing and so the factories were starving. And then everybody turned back on and started buying product. And then the factories were overwhelmed with orders. So those factories were able to take price increases that we all really didn't have any option to say no to.  And so now we're back into this place where factories around the world, even our own factories are producing at a much lower rate, so they need capacity or they need orders to fill their capacity. So, we've been able to go back to those factories and negotiate at better prices, better raw materials, just better overall.  And so therefore, we've been able to reduce the cost. We have been doing that very targeted and really looking at specific styles that maybe have slowed down more than other styles and where we feel that it may be a price issue at retail. We've been able to lower those and we're hoping that we'll see some pick-up there and that will help turn some of that inventory and therefore help fill in orders as well. So, I miss… 
Jason Brooks: No, I think that's, I mean, that's generally the gist is that we are using kind of the selling data that we have from some of our larger accounts and some of our field accounts. So, we get that type of information provided to, and we're taking that and we're going back to our source partners and saying, hey, price is impacting these certain styles. And to Jason's point, we've been able to work down, some of the first cost for some from styles that aren't meeting our expectations from a south through perspective. And we've had some success there and adjusting our map or MSRP pricing accordingly. 
Tom Robertson: The other part of that question you asked Jon, I knew there was a second part in regards to competitors. Will we have seen a couple competitors much smaller than us, reduce some prices? And if you remember, the Lehigh business does a lot of business with some other brands, and so we have seen some price reduction, but again, it's been very pinpointed, so it's been very specific types of products.  And then there's been some retail, or sorry, some wholesalers that they took their price increases and we haven't seen any reductions. So, I think our approach again will be to be strategic around where and how to do that and try to continue to maintain these margins that we shared. I think they were in the 39%, 40%. So, we want to continue to drive the higher margins as well. 
Jonathan Komp: So -- and just maybe correct me, I'm maybe forgetting some mix or product changes given the acquisition, but just thinking through the rationale why the implied wholesale gross margin should stay well above the pre-pandemic levels given some of the dynamic you just discussed. Any just thoughts on kind of what's the right level of gross margin at the segment level.
Jason Brooks: Yes, I would say in the wholesale -- well post-acquisition the acquire brands carry a slightly higher gross margin than our legacy brands, pre-acquisition. And so, we would tar like to target long-term and they're going to work to get there try to get there this year, but could lead into 2024 getting wholesale gross margins into that upper 30% range, 39%. We're guiding, just to be clear, we're guiding those gross margins to 40% for 2023. But we think that, there will be room to continue to expand those margins as we move through time here. Given the inventory position we got into last year, we are still working through some inventory that was at this higher inbound logistics cost. We have certainly seen the relief like everybody else has. But we have to sell through that inventory that came in last year.
Jonathan Komp: Great. Maybe last one for me if I could sneak it in, and maybe it's for Tom or maybe for Sarah since she'll inherit some of the comments here, I guess. But just thinking through the operating margin. It sounds like the pieces you gave maybe still close to holding the 8% operating margin for the year, given some of the cost adjustments. So just maybe I don't know if you had any more specificity on the operating margin this year, and then how should we think about what's needed to grow that overtime?
Tom Robertson: Yes. I think that's a pretty fair estimate still, John. We are certainly going to try to target coming in above that. And as we work through some of these cost-saving measures over the next quarter and if we are able to see positive sell through or I guess positive sell into retailers in Q3 and Q4 as they work through those inventories. I think you are very familiar with us and you have seen us being able to really grow our operating income or operating leverage for some top-line sales growth. So, we will be waiting to capitalize on that moment.
Jonathan Komp: Okay. Thanks for taking all the questions.
Operator: The next question is from Janie Stichter of BCRG. Please go ahead.
Janie Stichter: Hi, everyone. Good afternoon. First, I want to clarify just on some of the commentary around the large farm and ranch stores in the Western retailers. Is there any change they are seeing based on what you are hearing from them in terms of sell through or is it just purely a more conservative posturing, just kind of based on the environment, the fact they feel like they have enough inventory?
Tom Robertson: Yes. So, I would tell you that, they are telling us that they have enough inventory going through Q1. We are hoping as we continue to work with them, we are learning that Q2 may still be a little bit of a challenge. But they are being more conservative. And even in some cases, it may not be our inventory that they are concerned with. There could be other brands or even other categories that are creating this inventory imbalance issue for them.  So, like I said, we had anticipated that, we would move through more of that in Q4 of last year and then maybe a little into January, but it should have opened back up and it just has not. They are being really conservative and they are selling what they have.
Jason Brooks: Janie, I think one of the ways we can tell the behavior of the retailer has shifted is that, historically, our business would be about 65%, 70% percent at once. Working through the last couple of years, that number crept down to, call it, 50%, 55% depending on the brand being at once, meaning that they were doing more bookings. We are doing more at once compared to bookings. But in total, they were booking more than in the prior years. As we look at the start of this year, we are seeing that one's numbers crept to that 80% mark, which shows you they're ordering more right on time as they need it, replenishing the inventory.  And so, that's going to shift a little bit of the burden of having the inventory on onto our books. And they're going to rely -- working in the impression they're going to rely on us to have the inventory as they need to replenish their inventory levels. So, we think their behavior has shifted, and so we're going to be watching that at once, a number very closely as we move through the next couple quarters. 
Janie Stichter: And then on the Durango business, I think you mentioned going into new doors. Any color you can give there? And then are there similar opportunities at other brands just to offset the more cautious environment that you're seeing? 
Jason Brooks: Absolutely. So, I think, what we found with Durango is moving more into maybe work stores versus just through western stores or farm and ranch stores. We've had some success with some new product there in that market. And then the extra tough brand, we've also seen new opportunities there more inland, right? So that brand is really popular along the coasts, which makes a lot of sense around water. But we're seeing some success inland and maybe more lakes in that kind of environment. So, we're seeing some success there. 
Tom Robertson: Yeah, I mean, we run reports around this and we know that this year alone, we've opened more doors than we're not positive and doors across all brands. But to Jason's point, the Durango and extra tough, I think are leading the charge from a door count perspective. 
Janie Stichter: And then a last one for me is just on inventory. I think you had said down $45 million this year. Is, is that still the plan? And will you put that towards debt paydown? 
Tom Robertson: Yeah, so, we're maintaining our targets to get inventory down to approximately $180 million, $185 million in sales by the end of the year. And the plan for that will be to use those proceeds to pay down debt. 
Operator: Next question from Jeff Lick of B. Riley Financials. Please go ahead.
Jeff Lick : So, question, since you last spoke, that's about 40 days, it looks like you took your guidance down by $40 million bucks X service. I'm just curious what would be -- where's the biggest hit? And then just kind of to build on that, I was curious if you could pick one area where in these 40 days it kind of surprised you the most to the downside and which one surprised you the most, if any, to the upside? 
Tom Robertson: So, hey, Jeff. So, I think, we were looking at -- I think the biggest area for us is the key account, right? And we -- not to continue to harp on them moving through their inventory, but the little visibility that we do get into their data, we could see the inventory levels coming down. And so, I think we anticipated very replenishments and bigger fulfillment orders. And to Jason's point, even though, we've seen some of those retailers, their inventory come down, they're still being incredibly conservative.  And we're hearing, as Jason said earlier, that they could be over-inventoried in other categories. And it's still just filling in slightly on our branded products. The other area that surprised me at least was e-commerce fell off a little bit in March. It has since recovered in April, but that also has us scratching our heads a little bit. And fortunately, for us, it's recovered in April from an e-commerce perspective, but that was also unanticipated in the last 40 days.
Jason Brooks: Yes. And I would just add that I think in general, the rubber boot business probably surprised me the most is being down. And then in the same breath, this XTRATUF new store opening has surprised me in a positive way. So, I'm excited to see that. I think it broadens the horizon for that brand. We just got to navigate this inventory stuff right now.
Tom Robertson: I think to -- once we get passed -- every once everybody got past year in, we've had a lot of management to management meetings and stuff like that with out of our key partners, and we're just hearing them be more cautious. And so, I think we're going to kind of mirror that mindset and be more cautious for our outlook for the rest of the year, which is what we've done.
Jeff Lick : Yes. Just a follow-up, Tom, you alluded to April in e-com being a little better. I was just kind of curious if you'd characterize as the quarter transpired when you left the quarter in March. Is it fair to say you kind of went out of the quarter on a low note or what is there any bouncing along the bottom and a bit of a bounce back just as we think about going into Q2, how is it trending?
Tom Robertson: Was your question -- to answer your question correctly? I mean, are you referring just to e-commerce? Or are you talking about sales in general in total?
Jeff Lick : Just in general.
Tom Robertson: Yes. So, I mean, I think that as we look into Q2, we're going to be cautious, as Jason has said, and we probably have sales flattish to down slightly in Q2, but recovering in Q3 and Q4 to get to that $500 million number. I think it is really just a wait and see on when our retail partners start filling in more regularly. And we're seeing a little bit of that, but we're still going to be cautious...
Operator: There are no further questions at this time. I would now like to hand the call back over to Jason Brooks, closing comments. Please go ahead, sir.
Jason Brooks: Thank you very much. I just want to thank the entire Rocky team for a challenging Q1, but we have all worked hard to get here, and I am positive that we will continue to fight the fight for 2023 and do the best we can to make the best year out of 2023 that we can. So, thank you very much, and thank you to our investors and our analysts on the call today...
Operator: That concludes today's conference. Thank you, for joining us. You may now disconnect your lines.